Rodrigo Gelain: Good morning everyone. Welcome to SLC AgrÃ-cola’s Third Quarter 2024 Earnings webcast. My name is Rodrigo Gelain. I am Financial and Investor Relations Manager. Joining me today are our CEO, Aurélio Pavinato; and our CFO and IRO, Ivo Brum. Thank you all for being here this morning. Please note that this webcast is being recorded and will be available on our IR website along with the presentation. If you would like to listen to the simultaneous translation, you can find this tool on Zoom under the interpretation icon at the bottom of your screen. You can choose your preferred language, either Portuguese or English, and for English listeners you have the option to mute the original Portuguese audio and in this case you will hear only the translator’s voice. For the Q&A session, please submit your questions via the Q&A icon at the bottom of your screen. For easier interaction we will announce names so attendees can ask questions live. At that time, a prompt will appear on your screen to enable your microphone and camera. If you prefer not to go live, please write no mic at the end of your question and I will read it aloud. We would like to emphasize that the information presented here, as well as any statements made during the webcast regarding SLC AgrÃ-cola’s business outlook, projections and operational and financial goals reflect the beliefs and assumptions of the company’s management as well as information currently available. Forward-looking statements are not performance guarantees. They involve risks, uncertainties and assumptions as they relate to future events, depending on circumstances that may or may not materialize. Investors should understand that general economic conditions, market conditions and other operational factors may impact SLC AgrÃ-cola’s future performance, potentially leading to results that differ materially from those expressed in forward-looking statements. I will now turn the floor over to our CEO, Aurélio Pavinato, to begin the presentation. Please proceed, Pavinato.
Aurélio Pavinato: Thank you very much, Gelain. Good morning everyone. We appreciate your participation in today’s earnings webcast for Q3 2024. Moving to Slide 4, let’s discuss the cotton market. During the quarter, cotton prices remained stable at around US$0.70 per pound. The global balance according to USDA data shows a positive balance of 1 million bales. Spinning mills are managing inventory levels of raw materials and finished goods below historical averages, which has reduced future market liquidity and helped to moderate prices. This conservative retracting approach in the industry reflects increased risk aversion amid a challenging global environment with high interest rates, inflation, geopolitical tensions and ongoing conflicts. We believe that stabilizing inflation in major cotton consuming markets such as the United States and Europe could make market flows rebound again. The USDA projects U.S. cotton production for the 2024/2025 crop year at 14.2 million bales higher than 2023/2024, while Brazil’s output is forecast to reach 16.8 million bales, maintaining Brazil’s position as the world’s largest cotton exporter. On Slide 5, we look at the soybean market. The CBOT SPOT soybean contract and the Parnaguá has to pay a basis showed significant volatility in Q3 2024 due to expectations of a global supply increase. The USDA projects U.S. soybean production for the 2024/2025 cycle at 121.4 million tons, with Brazil expected to produce 166 million tons as per CONAB. Global production is forecast to exceed demand by approximately 23 million tons, applying pressure on prices. Turning to Slide 6, let’s discuss corn. Corn prices in the CBOT SPOT contract and Brazil’s domestic market showed positive fluctuations during Q3 2024. This was driven by delays in soybean planting and higher premiums. The USDA projects U.S. corn production for 2024/2025 at around 385 million tons, slightly lower than last year. CONAB expects Brazilian production to reach 120 million tons, up 3.5% from 2023/2024. Argentina’s planted area is estimated to shrink by 20.3% with output dropping by 2.5 million tons according to the Bolsa de Cereales, and Ukrainian production may also fluctuate due to weather factors with expected production of 26 million tons. Global output for 2024/2025 is anticipated to be about 4 million tons short of consumption, with a stock to consumption ratio moving from 25.8% to 24.9%, which could support and sustain prices. Moving to Slide 8. Let’s say a few words about our operational performance for 2023/2024 crop year. The 2023/2024 harvest is complete. Corn yields were affected by irregular rainfall and heat waves, particularly in the state of Maranhão. Cotton harvest productivity met our projections, reaching a record milestone at the Pamplona Farm with 164 arrobas per hectare over 8,400 hectares. Final yields compared to the national average were as follows: soybeans 3,276 kilos per hectare, 17% below budget, but still 2.3% above the national average; cotton 1,942 kilos per hectare in line with projections and 2.9% above the national average; second crop corn 7,081 kilos per hectare, 6.7% below initial expectations, but 29% higher than the national average. On Slide 9, we outlined hedging for the 2023/2024 crop. For soybeans, well, we’ve sold 99.6% at $12.34 per bushel. For cotton we have sold 85.8% at $82.06 per pound and for corn 96.4% was sold at BRL48.30 per bag. Now I’ll turn the floor over to our CFO and IRO, Ivo Brum, to discuss our financial performance.
Ivo Brum: Thank you very. On Slide 11, we highlighted our income statement. Net revenue in the quarter remained stable, supported by higher volumes of cotton and soybean sales offset partially by lower volumes and prices of the crops. Net income was affected by a decline in gross profit from corn and a negative adjustment in the biological asset value and net realizable stock value, though this was partially offset by tax credits for ICMS exemptions and other tax recognitions applicable by a court decision. Adjusted EBITDA reached R$463 million, a margin of 28.4%, reflecting lower gross margins across crops. Cash generation for the quarter was positive at R$147.5 million, driven by the end of payments for inputs and the start of cotton and corn sales. On Slide 12 we reviewed the company’s debt position. Adjusted net debt closed the quarter at BRL4.2 billion with a net debt adjusted EBITDA ratio of 2 times. This position covers the 2023/2024 crop costs, investments for the 2024/2025 growth projects that are realized and a significant portion of the 2023/2024 crops sales still pending invoicing. On Slide 13 we discussed our acquisition of SLC LandCo. We have acquired in October the minority interest of SLC LandCo for BRL525 million. This acquisition enhances flexibility in our asset strategies and expands SLC AgrÃ-cola’s operations. I’ll now hand it back to Pavinato to discuss the 2024/2025 and 2025/2026 crop outlook.
Aurélio Pavinato: On Slide 15 showed planted area for the 2024/2025 season totaling 734,000 hectares, an 11% increase in comparison to 2023/2024. Cotton area will expand by 1.8%, soybeans by 18.2% and corn by 25.9%. On Slide 16, we summarized our recent deals supporting this area increase for 2024/2025. We have expanded our successful joint venture with Agro Penido Pioneira Farm by adding 18,700 hectares with planting potential considering double cropping of 30,000 hectares. We established a new JV with Fazenda Planorte Empreendimentos Agricolas SLC with the stake of 55% and 45% with Agropecuária Rica S/A. This will add 11,680 hectares with a potential to double this area if you consider double cropping. We also signed a lease in POE, adding a total area of 14,572 hectares where we’ll plant soybean and first crop cotton and this will be incorporated to the Paranagua Farm to explore synergies. Combined the three deals add over 60,000 hectares for the 2024/2025 season, 11% growth in planted area. On Slide 17 we present the outlook for the 2024/2025 crop. Soybean planted started at the end of September. Currently approximately 80% of planting has been completed. With conditions now back to normal and crops developing soundly. We will now move on to Slide 18 where we will discuss cost per hectare. The company has already purchased 100% of the fertilizers, 96% of the crop protection products for 2024/2025. The total budgeted cost per hectare is R$6,666 per hectare, which represents a R$5.2 decrease compared to 2023/2024. As we can observe in the first chart, the cost per hectare has been decreasing over the last two harvests. Our successful strategy in acquiring key inputs and the return of prices to levels near historical averages have contributed to this reduction. In the second chart, the 2024/2025 season, we present our budget for the cost per hectare by crop. Our estimate is that there will be a decrease of two point, in cotton, soybeans by 8.3% and corn by 7.8%. Let’s move now to Slide 19 where we discuss the current hedge positions for 2024/2025 and 2025/2026. We have continued the sales for the 2024/2025 soybean harvest with the current commitments we have reached 63.6% of the estimated production. We have locked in 44% of the cotton production and 18% of the corn. Additionally, we have taken advantage of favorable exchange rate fluctuations to lock in the sale of crops. For the 2025/2026 harvest we have started purchasing fertilizers having acquired 80% – and 80% of potassium chloride and simultaneously we have sold 33% of the soybeans at US$11.33 per bushel. On Slide 20 we show our seed sales forecast for 2025. Our estimated sales of soybean seeds for third parties plus internal consumption now stand at 1,400,000 sacks, a 12% increase compared to the previous year. For cotton seeds the sales target for third parties plus internal consumption is now 145,000 bags, a 1.2% increase compared to the previous year. Now let’s turn to Slide 22 to highlight some of our achievements and awards in ESG. We have once again received the Gold Seal from the Brazilian GHG Protocol Program. This is the highest level of recognition granted to companies that fully inventory their emissions and have their data verified by a third-party. We have received the MESC Award for the third time, an important recognition granted by the MESC Institute, best companies in customer satisfaction. This for the sales business. Finally, we were honored for the sixth time with the Transparency trophy from ANEFAC, the National Association of Finance, Administration and Accounting Executives, recognizing our transparency and the quality of our financial statements. Thank you. And now we will open the floor for the Q&A Session. Julian?
A - Rodrigo Gelain: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Pedro Fonseca, XP. Good morning, Pedro. Please open your microphone and carry on with your question.
Pedro Fonseca: Hello, good morning. Good morning Pavinato, Ivo, Gelain. Thank you very much.
Aurélio Pavinato: Pedro Fonseca, XP. Could you please activate your microphone and camera?
Pedro Fonseca: Can you hear me? Hello? Can you hear me?
Rodrigo Gelain: Okay. Well, I’ll call you back, Pedro. Okay, let’s go on with the questions. From Henrique Brustolin, Bradesco. Please ask a question.
Henrique Brustolin: Good morning. Can you hear me? Can you hear me? Pavinato, Ivo, Gelain can you hear me?
Rodrigo Gelain: I just received that everybody else can hear the questions, but we cannot get the questions in the room. So please stand by a second. Okay we couldn’t hear the first two questions. But then why don’t we try to solve this technical issue. We received a question from Pedro Gama Citibank and he submitted the question in writing. So we are going to take this question first. And as soon as we resolve the technical issues, we go back to the usual procedure. So this is a question from Pedro Gama Citibank. The first question is, could you please comment on the planting process and yield expectations for soybeans are you in line with expectations? Apparently, weather will go back to normal in future months. And because we’ve had a higher volume of rainfall in recent days, do you think that will achieve productivity or soybean yield above guidance? Would you like me to read the second question?
Aurélio Pavinato: No, let’s answer this first question first. So, Pedro, about soybeans, I think, that your understanding is correct. We had a shortage of rain in the initial phase. There was a delay in planting. But after that we were able to make up for lost time. So we planted in an excellent window in Bahia, Maringá and Mato Grosso. So we are planting at the right time with high production potential. So, in other words, our expectations for soybeans this year are very positive. That is, we are enjoying full potential of soybeans right now.
Rodrigo Gelain: Good morning, everyone. Unfortunately, we’ve had a technical issue and we’ll be back in a couple of seconds. Please bear with us. [Technical Difficulty] [Foreign Language] Good morning. We are back. Okay, we’re back.
Pedro Fonseca: Can you hear me now?
Aurélio Pavinato: Yes. Who’s this?
Pedro Fonseca: This is Pedro from XP.
Aurélio Pavinato: Hello, Pedro. My apologies, we had a technical problem. Pedro, could you please repeat your question? Pedro?
Pedro Fonseca: [Foreign Language] I think it’s good now. Good morning, Pavinato, Gelain, Alisandra, thank you for taking my question. I have actually two questions. The first one is about your hedging strategy. Pavinato said a few words about it in the beginning of the webcast. But I would like to know what are the triggers for advancing the locking process, especially in soybeans and cotton, and what we can expect for the coming months. If you could also include the FX considerations, this would be great because I think that you have a good position in that. We would like to hear also your vision because, of course, you have more visibility about the moves in cotton in Brazil. Some relevant players are saying that they’re migrating to corn because of the delay in soybeans. Do you think that the current cotton area in Brazil could eventually lead to frustrated expectations?
Aurélio Pavinato: Thank you very much, Pedro. Two very important strategic questions. In the case of hedging, with soybean, well, soybean is the culture or crop today that is increasing stocks today. And this, of course, put pressure on soybean prices and also applied pressure on the prices of other commodities. When we consider stocks of other crops such as wheat, corn and cotton, there is no overstocking. In fact, the carryover stocks are lower than historical averages. But soybean will continue to apply this pressure for some time. There is excellent expectations for the American season, and this should continue until the next season. So that’s why we started the hedging for the 2024/2025 season in this level. And at the same time, we are trying to lock in the portion of dollars that we can lock when there is a peak in the FX rate. For 2025/2026, we are well hedged in soybean. In cotton, we have evolved with 24% of the crop also locked. And we also waited for better prices, for prices to rebound, it reached $0.73, $0.74 in New York plus premium. And at the same time, we were able to lock FX at a higher level. So the postponement of our hedging for cotton was very convenient. And when we look at the overall picture, considering prices and production costs, the 2024/2025 season had downward adjustments of prices. Prices in BRL should be sustained at the same levels as in the previous season because the price reduction in U.S. dollars is now being offset by higher FX rates. So that’s why the 2025 – 2024/2025 season is now in a more normal profitability scenario, especially because we expect a full harvest since conditions of weather are back to normal. In inputs, there were reduction in the previous crop year 2023/2024, they amounted to 10%. And because of the drought and replanting and some pests, there was a 7% cost reduction and now 5% additional in the new season. We purchased potassium for 2025/2026. Why? Because in our historical perspective, it’s being traded at the lowest levels and at a price that is lower than the price we use for the current season. So in potassium we fix, we locked production costs for 2025/2026 at prices lower than 2025/2026, of course, this in U.S. dollars. So this is our hedging in a nutshell. And FX is now favoring us. We are – it’s helping us go back to a normal position. Commodity prices are being traded low, but the foreign exchange rate is helping us. In relation to cotton, Brazil is really taking a prominent position as a producer and exporter of cotton. This is the good part of the story. Of course, the negative part of the story are our logistic bottlenecks. So this increases export costs for us and carryover costs and for 12 months, of course. And in Brazil, what we envisioned two months ago is that corn was in a bad scenario, low prices, and producers were planting more cotton. With the delay of soybean, the second crop cotton was moved to the second fortnight of February and depending on the region, probably actually moving into January – end of January. So depending on the cultivar, this can be postponed to February. And corn – in corn, there was a recovery in international market. So the FX helps us and the national industry. The cattle industry shows strong demand for corn and also the ethanol market is showing pickup in demand for corn. And all of this will perhaps elite producers or farmers to plant less cotton and plant more corn in the 2025 – 2024/2025 crop. And this is going to be helpful. Cotton growth will be curbed and this will help us also in international prices.
Pedro Fonseca: Thank you very much, Pavinato, very complete answer. We are very grateful. And by the way, as a comment, considering the more favorable cost scenario, we talked a lot about the floor of production costs at around $9.5 or $10 per bushel for American farmers. And in this scenario, with more benign costs, do you think anything will change in the floor – production floor for American farmers?
Aurélio Pavinato: Yes. What has changed in fertilizer costs is potassium. Potassium dropped a little more with phosphorus is the opposite, map has increased – shown increased prices in recent months. So when we look at the fertilizer basket globally, they are in accordance with historical levels. Of course, if we eliminate outliers. But when I compare fertilizer prices in the pre-pandemic era with the prices we are paying right now, they are still 20% higher. Well, of course, I’m talking about pre-pandemic levels, because we know that there were peaks in prices from the pandemic. In the pre-pandemic era, inputs were very low in price at $9.5, $10 per bushel. And when we consider inflation during the period, by the way, inflation in the United States from in the last five years has reached 21%. So if we take into consideration the inflation rate, we see that fertilizers are back to pre-pandemic levels, which I consider to be low. So the American cost, so is there room for greater drops in American prices? I think very little because potassium may be will be a little cheaper, but phosphorus and nitrogen are more expensive. And so we see that there were some Americans who purchased nitrogen fertilizers at lower prices than we are buying right now. So sometimes there are oscillations in nitrogen cost. So when I look at the price formation in America, I don’t expect that there will be a cost reduction. So it will continue to be high, but this as a consequence of inflation. So in my vision, I don’t see much room for a decrease in costs in the United States. Here too [ph] the $10 soybean which was the historical average, this is no longer the case. $10 is bad for global farmers. With this exchange rate up to $10, this is not good. So in our understanding thinking of Chicago, soybeans should be at $11, $12, considering the historical levels, adding inflation, $11, $12, this would be the level that would adequately remunerate the growers both in Brazil and the United States.
Pedro Fonseca: Thank you, Pavinato. Extremely clear.
Rodrigo Gelain: Thank you, Pedro. Our next question is from Henrique Brustolin, Bradesco. Good morning, [indiscernible] could you please open or activate your microphone and camera?
Henrique Brustolin: Good morning, Pavinato. Good morning, Ivo and Gelain. Thank you very much for answering my questions. Two points I would like to talk about. First, cotton, in terms of volume and margins. Well, from the previous season you carried over a higher level of stocks, now record production. And we get the impression that perhaps stock levels are higher than had been anticipated in the last year. So what do you expect? How are you planning to trade the exceeding volume, especially in 2025? We see also an expansion of the unit margin quarter-on-quarter, and I would like to know what it reflects in terms of the mix of the crop here. We see now that we – the volume of 2023/2024. So these are the points in cotton. And quickly, when we look at the 2023/2024 season costs, it was a little above budget, BRL3 to BRL5 per hectare.So I would like to know what’s behind this revision and if there’s anything that we should take into account for the analysis of next year.
Aurélio Pavinato: Thank you, Henrique, for the question. I will talk firstly about cotton margins. So as you said, we are now completing the shipping of the 2022/2023 crop year. And then cotton for 2023/2024 is starting to be shipped and prices are a little lower for this crop year. Corn prices decreased, there was a reduction of 5.2%, but prices went down 18%. This led to a decrease in margins. And as we said, it was a year of tighter margins. But I think that corn is really delivering well. And this is offsetting, we have some farms that are with higher yields than others. This depends on the product and the variety. But along the next month, we’ll be shipping out this cotton closer to the prices we have already announced with a slight increase. So instead of a reduction of 10%, we have now – we stand now at 7%.
Ivo Brum: Henrique, about the caring, yes, we are shipping cotton in 12 months, in the second half last year was one of the worst times for us, so we have a high carry. And this year, in September, October, November, we still have a significant volume of the 2024 harvest. If you look at the comparison between production costs that were announced and budgeted, usually there’s a variation that’s under 1%. The exception to that is when we have a strong appreciation of the exchange rate. And then inputs that are purchased in dollars, of course, cause an impact. So we were using 5.4 as the exchange rate. If the exchange rate goes up to 5.7, then there will be an impact. But in relation to the previous crop year, that drought with the loss of 17,000 hectares of soybeans, that where we planted cotton and the replanting of 28,000, and what happened last year with the drought creating pressure in pests, including the white fly, all of this created a higher demand for insecticides. So in the 2024 harvest, we had an expressive loss in soybeans, a loss in yields, and at the same time, also under the influence of the drought, we had a decrease in yields. So that’s why we had this discrepancy. And our expectation for 2024 and 2025 is that we won’t have these overruns in production costs. The exception, of course, is the foreign exchange rate. And considering also the historical levels of production.
Henrique Brustolin: Thank you. Very clear.
Rodrigo Gelain: Thank you, Henrique. So we started by answering Pedro Gama’s question from Citibank. And he said that, he dropped from the call. Pedro, you’re back on. Can you please activate your microphone and camera to ask your question?
Pedro Gama: Hello. Good morning, Ivo, Pavinato, and Gelain. Well, the connection dropped and I will repeat them here. I have two questions in fact. Firstly, could you tell us about the planting process and the expectations of soybean yields? Because we expect very regular weather for the coming months. And so I would like to understand if you’re planting according to expectations, and will SLC reach soybean yield above what has been announced for the 2024 year? Well, for 2026 – well, I think it’s a little bit early, but we see that you started blocking soybeans and foreign exchange at high levels this month. But what are the initial expectations for that crop year? So could we think, for example, of maintenance of the unit cost in BRL with an increase of the EBITDA margin? And secondly, can we expect that the growth in planted area is a strategy that will be sustained?
Aurélio Pavinato: Thank you. Thank you, Pedro. About productivity and yield, well, we started to plant a little bit later in Mato Grosso, because rainfall began at the end of September and early October. But we made up for lost time. So soybeans took place in an area or rather a time that was very advantageous for yields. And in the other regions, Mato Grosso do Sul, Goiás, Bahia, Maranhão, we are planting in an excellent window. So up to now, the soybean crop shows maximum potential and we expect normal weather conditions. So the expectations for soybean yields are excellent. I talked about 2025/2026 in a very summarized way. All of the prices point to low prices in commodities, and there’s no more room for downward price adjustments in input. So the official scenario is that 2025/2026 would be a crop year with ties, tight margins for the sector. And then it will depend on how you can lock your costs. At the time, you can lock your costs so that you can secure better margins. This is the base scenario for 2025/2026, especially because in soybean prices, the scenario indicates that they will go down even further. Cotton prices will remain flat, and so will corn. Now, if the exchange rate remains high, dollar cost starts to go down because everything that is sold and bought in BRL is lower, when you denominate this in U.S. Dollars. In the case of our purchases of potassium, we believe that input prices will remain the same for the 2025/2026 crop year. So we don’t expect many variations in inputs for that season. So the EBITDA margin will depend on the yields and the timing for locking prices. But when you look at the overall sectors that the 2025/2026 crop year will see – will be very similar to 2024/2025 in terms of yield and profitability. We have a growth strategy, by the way. Turning to growth. We want to continue growing 5% a year. There are – there will be years in which we’ll grow a little more. This year we’re growing 11%, a recovery from what we didn’t grow last year. And in the next year, we’ll continue to expand our areas, depending on the opportunities that emerge.
Pedro Gama: Thank you. Thank you very much.
Rodrigo Gelain: Thank you, Pedro. So let’s continue now. Our next question is from Larissa Pérez, JPMorgan. Good morning, Larissa. Could you please activate your microphone and camera?
Larissa Pérez: Good morning. I have two questions. One about the impact of the American election and another one about cash generation. Well, what can we expect? Do you think that the trade war between the United States and China will be back? And the second question is about cash generation for 2024. What can we expect for 2025? What are the main lines, especially considering CapEx for 2025? Thank you. This is it from me.
Aurélio Pavinato: Thank you very much, Larissa, for the questions. I’ll answer the first one. About Trump, the winner of the American election. The question is how intense the trade war will be in the comparison Trump 1 to Trump 2. So what will be Trump’s actions after he takes office? But the scenario for commodities and the world scenario is quite different from what it was in 2016, 2018, when the trade war began. In the case of soybeans in China, in the 2017, 2018 crop season, China imported 30% of its commodities from the United States. In the previous season, only 20% of soybeans to China came from the United States. In the case of cotton, it was 46%, now only 33%. So China’s stocks were low at the time with under 30 million tons of inventory. Now they have, 14 million. So China is now much better stocked and depends far less of the United States as a supplier. So in our vision that the 2025 trade war will be more attenuated and less intense than it was in 2018, this is our perspective, and of course it will – everything will boil down to Trump’s actions. Well, about cash generation, especially in 2024, we had – we lost – we lost 17% of productivity in soybeans. So this represents BRL500 million. We are growing now significantly. Our planted area with 60,000 hectares, we have invested BRL850 million to prepare the land and we had the cash generation reduction of BRL500 million. So we expect that there will be a recovery in soybean this year because the weather is much more favorable. We planted in a good window. So we are growing. This will also increase cash generation. And we’ll invest pretty much the same we invested. We had invested in 2023, BRL900 million. This is the historical level of investment every year between BRL800 million to BRL900 million. We’re talking about warehouses, new machinery and we have to factor in our growth. So if we don’t grow, CapEx could go down. But if we maintain our expansion, CapEx should remain the same. And it’s difficult to make predictions right now because of the current exchange rate. But let’s remember, BRL500 million soybeans were not included in our cash this year. And this probably next year this is going to be reversed.
Larissa Pérez: Thank you very much. Very clear.
Aurélio Pavinato: Thank you, Larissa.
Rodrigo Gelain: Our next question is from Laura Hirata, Santander. Good morning. Laura. Could you please activate your camera and microphone.
Laura Hirata: Good morning, everyone. Thank you very much for taking my question. I would like to talk about – about the end of the moratorium, and I would like to know about the impacts that you envision in relation to land prices? Thank you.
Aurélio Pavinato: Good morning, Laura. Well, this situation is not going to end, in my view. And the green deal will impose additional restrictions, which is the impediment of buy anything. Any areas cleared after 2021, forest areas and the Cerrado actually will not be included in these restrictions. In spite of those policies that were implemented, I think that the agreement will continue to prevail. Land prices will not show excessive variation. As a result of that, Europe will not import soybeans from deforested areas, regardless of any political restrictions in our country. So the practical effect will be very minimal. There’s a lot of noise around this topic about the soy moratorium, but the effect will be very, very slight.
Laura Hirata: Thank you very much, Ivo and Pavinato.
Aurélio Pavinato: Thank you, Laura.
Rodrigo Gelain: Next question is from Victor [ph], UBS. Victor, please activate your camera and microphone.
Unidentified Analyst: Good morning, everyone. Thank you very much for answering my question. Just two quick follow ups if I may and a question. Well, going back to yields, in spite of the weather challenges in the beginning of the crop year, you were able to make advances in planting and you maintain the expectations in relation to yield and cost. Do you see any risk to that – to that situation? And also you talked about the level of growth of 5% a year. So what is the maximum leverage that you can reach? And also in the seed business, we saw a very significant increase. But there’s still the capacity of 2 million bags of soybean seeds. Is it more of an operational or commercial issue that is stopping you from getting that?
Aurélio Pavinato: Well, productivity. We planted at the optimal time of the year. What additional risks do we have now? We have a concentration of the harvest in Mato Grosso [ph] in the second fortnight of January. So if this fortnight is very rainy, this could be a risk, that’s the only thing. This is the only risk that we have determined. We have many machines to do the harvest, but that’s the risk that increased harvest risk in the case of soybeans. As for the seeds, it’s a marketing issue. It’s acquiring market share. So we are reinforcing our sales team. We are growing gradually so that we can develop this market. All additional sales are now being targeted at our neighbors, so we need the industrial capacity to produce more. We have a lot of room to grow, but we are developing this market for us gradually leverage. Well, we have a limit, a limit that is established at 4 times, but we want to be much below this limit. We think that below 2 times we have a lot of potential for growth, and with when we go over 2 times, we will reduce our velocity growth. So right now we have precisely 2 times. So it’s a very good moment to growth. There are opportunities showing up, margins are lower, which, and this is putting pressure on growers. Some land is being offered in the market, so we are analyzing the opportunity. So maybe we can go a little over 2 times, maybe 3 times. And this is all playing by the book because when we – when we talk about growing significantly, we reduce our leverage. We didn’t grow in the last two or three years after the acquisition of the Paysandu [ph], and we actually engaged in a stock buyback program because we had just too much cash and we couldn’t find the good projects with adequate returns. Now we see good projects with adequate returns and that’s why we grew our land in 60,000 hectares for the next season.
Unidentified Analyst: Thank you. Very clear.
Rodrigo Gelain: Well, if we have no further questions, this earnings webcast about the third quarter 2024 SLC is now closed. The Investor Relations department will be happy to take any questions you might have. Thank you very much to all participants and have a great day.